Operator: Good afternoon, ladies and gentlemen and welcome to the Q3 Earnings Call 2024 of Nemetschek SE. At this time, all participants have been placed on a listen-only mode. The floor will be open for questions following the presentation. Let me now turn the floor over to your host, Stefanie Zimmermann.
Stefanie Zimmermann: Thank you, operator. Hello, everyone and a big welcome. Thanks for joining our earnings call today to discuss the results for the third quarter and the first nine months of 2024 with us. With me today are our CEO, Yves Padrines; and our CFO, Louise Öfverström. Today's conference call is being recorded. A replay of the call will be available at our website after the call. Additionally, you will find the report, the presentation, and the press release on our Investor Relations website as well. But now let's get started. I would like to turn over to our CEO, Yves.
Yves Padrines: Thank you, Stephanie. Good afternoon, everyone. We appreciate your participation in today's earnings call. We will be discussing our financial results for the third quarter and the first nine months of 2024. As usual, we prepared a conceived yet informative presentation. Our CFO, Louise Öfverström and I will guide you through this material briefly ensuring we leave ample time for your questions after our presentation. I would like to begin the presentation with our key messages for the quarter on page number 2. Q3 2024 was a successful quarter for our company. The success once again highlights the resilience and strength of our business model and strategy. We managed to achieve continued robust growth coupled with exceptionally high profitability despite the precedently challenging environment in our end markets, especially, in Europe. As we already indicated in our last earning call the plus 6.3% on FX adjusted basis the design segment showed the expected temporary impact on its revenue growth due to the very high comparison base in the third quarter versus Q3 2023. As a reminder, the reason for the high comparison base was the end of standalone sales of Allplan perpetual license without mandatory maintenance attached which resulted in very strong onetime perpetual license sales in Q3 2023 and as well as the ongoing transition of several of our design brands to a subscription business model. In comparison, the organic growth of the build segment further accelerated to plus 15% on an FX adjusted basis in the third quarter. Bluebeam was once again the largest contributor to the key development which was additionally helped by a very resilient demand, especially, in the US market. Furthermore, the highly successful transition of Bluebeam to a subscription model is progressing according to plan. This progress gives us considerable confidence that we will achieve the expected growth of over plus 30% in the fourth quarter for Bluebeam. Reflecting on our performance for the first nine months of the year, we can be proud of our achievement. We recorded an organic currency adjusted revenue growth of plus 9.8% and an organic EBITDA margin of around 29.9% excluding [indiscernible] the effect from GoCanvas. These figures align precisely with our internal plans. Q3 marked also the first quarter in which fully consolidated or GoCanvas acquisition following the successful closure of the transaction on July 1. We are happy to report that GoCanvas showed the expected good underlying operating performance in Q3. However, please keep in mind that the reported figures do not yet reflect the full potential of the acquisition. As both the revenue and EBITDA contribution of GoCanvas is reduced by a high single digit million euro amount in the second half of the year, due to the IFRS related purchase price allocation and revenue haircut. If we look as to one of our main strategic priorities, our journey to a subscription and SaaS-centric business model we continue to execute as planned and the different vision of our brand in the design segment as well as a Bluebeam are progressing very successfully. The subscription to addition of Bluebeam is already very far advanced and will be completed by the end of the year. Consequently, main gross driver was once again the recurring part of our business, in particular the very strong increase in our subscription and SaaS revenues which is also reflected in all our major KPIs where we reach new record levels across the board. Therefore, based on the successful first nine months of the year, the expected very strong growth acceleration in the bill segment in the fourth quarter as well as the continued progress on our strategic initiatives, we are confident that and well on track to once again reach all our goals for this year. Consequently, we fully reiterate our organic as well as our expanded outlook including GoCanvas for 2024. On page number four, you can see an overview of the corresponding figures to the Q3 development that we just discussed in line with a key strategic priority that transition to a subscription and centric business model, or reported annual recurring revenue, which includes the contribution from our GoCanvas acquisition, recorded an increase of plus 33%. However, even if we stripped out the M&A contribution, the ARR growth remained at a high level with a plus of 26%. This continued strong increase in ARR is an important indicator for the group revenue and cash flow growth potential in the coming 12 months. The main driver was once again the revenue from our subscription and SaaS models, which grew organically by almost plus 78%. Including the additional contribution of GoCanvas, which already has a fully SaaS based business model, the growth even reached an impressive plus 94%. Thanks to this strong growth in our recurring revenue base, we are able to increase our organic revenue in Q3 by plus 8.9% and plus 9.6% on an organic and FX adjusted basis. Despite unchanged challenging economic environment in our end markets, as well as our ongoing subscription and SaaS transition and its associated short term accounting burden on our financial results. Including the contribution of GoCanvas, the reported revenue for the first -- for the month from July to September increased by plus 15.1% to €253 million. Due to our just mentioned addition to subscription and SaaS, the currently still lower profitability of Go Canvas along with the IFRS related revenue haircuts, our EBITDA for the quarter increased with plus 6.7%, slightly under proportional compared to our top line development. The corresponding EBITDA margin reached 30.1%. However, looking at our organic EBITDA margin, which excludes the dilution due to GoCanvas, reached a high level of 30.2%. Expected, the earnings per share fell by 12.8% in the third quarter, due to the current dilution caused by GoCanvas as well as the higher interest expense and amortization charges associated with its acquisition. On slide number 5, I promised we want to keep you updated on the progress of GoCanvas, the largest acquisition in the more than 60 year history of the Nemetschek Group. Before Louise will provide you with some additional financial implications of the acquisition, I would like to provide you with an update on the integration progress. Please allow me first to briefly remind you why we are so excited about the GoCanvas acquisition and why we are convinced it will create significant value for the Nemetschek Group and thus for our customers and shareholders. Firstly, GoCanvass is a leading provider of SaaS solution for the paperless collection, working in integration of field data in construction and adjacent verticals. Their unique breadth, user friendly solutions, GoCanvas aims to digitalize additional paper based processes, improve safety and ensure maximum compliance with industry standards. Secondly, GoCanvas fits perfectly with the portfolio strategy of Nemetschek's big segment and enable us to unlock the massive field worker opportunity in the construction industry, a market that grows well over 10% per year. By combining Bluebeam, ready today the most trusted name in collaboration solution for the build and construct sector, With its massive base of office workers, together with GoCanvas customer in the field, we will create a truly unique ecosystem for the construction industry. As a pure SaaS solution provider, GoCanvas will also further accelerate our successful transition to a subscription and SaaS centric business model which is as you know one of the key priorities for the Nemetschek Group. Finally, we see a strong synergy potential in the medium to long term. The acquisition of GoCanvas and its complementary technology, customer base as well as geographic presence will create significant growth opportunities. In particular, I would like to highlight GoCanvas currently already large and diversified user base of more than 300,000 active users. We therefore have a huge opportunity to address these customers with our solutions in the build segment and even more importantly, we can address the over 3 million users of Bluebeam with solutions from GoCanvas. After an extremely intensive due diligence process in the weeks and months leading up to the signing, we were able to announce the acquisition in early June. And then four weeks later, on July 1, we were able to officially close the deal and consolidate GoCanvas as part of the build segment. GoCanvas strong operational performance in the third quarter and its contribution to the group overall results is very reassuring, even though the results do not yet reflect the full potential of the acquisition due to the IFRS-related deferred revenue haircut. In order to maximize the potential of the acquisition, we will continue to drive the integration of GoCanvas in the coming months and quarters. As you see on the right-hand side of the chart, we are currently driving various initiatives in different areas. Looking at the go-to-market activities, we are currently intensifying the training and collaboration of the GoCanvas and Bluebeam sales teams. In addition, we are defining the different routes to cross-sell the solution of GoCanvas for Bluebeam customers, for example, by launching GoCanvas with important channel partners of Bluebeam. Also in terms of integration, we have already started to integrate and harmonize various back-office functions such as finance, IT and HR. And last but not least, we continue to integrate GroCanvas to the Nemetschek Group family. This is already very far advanced as GoCanvas has a similar customer-centric culture, which focus on customer proximity and customer delight, just as we do here at Nemetschek. Nevertheless, there are, of course, always things and best practices that we can learn from each other. So to summarize the current state of the GoCanvas acquisition after the third quarter, everything is going according to our internal planning, and we continue to be very confident that this acquisition will be a success. And with that, I will now hand over to Louise, who will dig deeper into the most important aspect of our financial results.
Louise Öfverström: Thank you, Yves, and a warm welcome to our Q3 2024 earnings call from my side as well. Well, Yves has already touched on some of our key financial figures, and I would therefore now like to look a bit more in detail at the most important financial aspects of the third quarter and the first 9 months of 2024 as well as the underlying drivers thereof. And as usual, I would like to begin with an overview of the key financial highlights of the first nine months of our financial year 2024, and this can be found on Page number 7. What we like to underline its assessment that we had a very successful first three quarters of the year with continued strong and profitable growth. And this is especially encouraging given our ongoing transition to a subscription and SaaS-centric business model, and as we all know, the associated short-term accounting burden on our financial results, given the continued challenging environment, especially in our European design markets, and we continue to progress in accordance with our plans. Starting with our accumulated revenue for the period from January to September, which grew by 11.5% on a reported basis to €705 million. Please be aware that after the official closing of GoCanvas and the consolidation hereof as of July 1, our reported growth now also includes the contribution of GoCanvas from July onwards. And of course, after the announced IFRS-related revenue haircut of around €4 million in Q3, as already mentioned by Yves. However, even if we strip out the GoCanvas effects, we achieved a strong organic growth of 9.3% and even 9.8% on an FX-adjusted basis. In line with our strategy, the main contributor to our growth was once again the recurring part of our business, which is represented by the annual recurring revenue, ARR that increased by 33% to €883 million. If we again exclude the contribution from the GoCanvas acquisition, the organic growth picture looks very, very similar with a strong plus of 25.2%. This strong growth in ARR clearly indicates the continued growth outlook, very good growth outlook for our business in the upcoming 12 months. And as one would expect as well, the key driver of this strong increase in the ARR was our subscription and SaaS revenue, which sustained an impressive growth of 82.1% on a reported basis and 75.9% on an organic basis to €381 million. We continue to achieve a very healthy operating leverage and continued improvements in our efficiency. And therefore, the EBITDA increased at a similar pace to our top line development, €206 million. The corresponding EBITDA margin was at 29.2%. This development must be seen in the context of our ongoing transition and the transition in our revenue recognition patterns for our subscription and SaaS offerings. The dilution effect from GoCanvas as well as the M&A-related one-off costs, as you can recall, that we had in the second quarter, these are all items that would normally have lowered the EBITDA increase. So therefore, please let me emphasize that if we were to exclude the dilutive effect of GoCanvas, the organic EBITDA margin would have been at 29.9% -- we then additionally adjust margin for the M&A-related one-off costs in the mid-single-digit million euro amount, the adjusted organic EBITDA margin would be 160 basis points higher and therefore, with 30.8%, already really well in line with our guidance range of 30% to 31% for the full year. Well, let's move to the right-hand side of the slide. You can see our continued high cash generation with strong cash conversion of over 100%. Also in the first nine months of this year, balance sheet metrics such as the equity ratio of 59% as well as the net debt position of €370 million. Now show the natural and intended increase in debt in the third quarter as a result of the GoCanvas acquisition. Let's move further to page number 8. And here we will find an overview of the development of our four segments in the first nine months of the year. Let's start from the left side with our design segment. And as Yves already mentioned, the FX adjusted growth in Q3 of 6.3% was slightly below the growth rate of the previous quarters. But this development is a result of the very high prior gear comparison base, which was attributable to the strong license business that we had due to the last time buy of perpetual licenses without the software surface contract attached to it at our [indiscernible] brand in Q323. However, that development was fully expected and in line with our plans and therefore as you can recall we already flagged for this in our earnings call in the second quarter. The first nine months of the year, we recorded a strong and resilient development in a continued challenging market environment, especially in Europe in this segment. And as a result our design segment revenue increased by 8.1% on a reported and even 8.8% on a currency adjusted basis to €344 million, and driven by a strong operational leverage the EBITDA margin for the design segment expanded by 110 basis points to 27.9%. The consolidation of GoCanvas, as I said July 1st, the results for the first nine months of the year for a build segment partially reflect the impact of GoCanvas as part of the segment from now on. And consequently, the segment recorded an impressive nine month growth of 18.3% on a reported and 18.6% on an FX adjusted basis. In particular, the segment's third quarter results, the growth of 33.5% show the impact from the strong contribution of our GoCanvas acquisition. And that's even after the consideration of the revenue haircut. However, our build segment also recorded a very encouraging organic development in the third quarter with an acceleration of growth to 15% on an organic and FX adjusted basis. So together with the continued resilient market outlook for the US and the ongoing very successful transition of Oblivion [ph] brand, which will be nearly complemented by the by the end of this financial year, and the comparison base in Q4 that almost no longer includes license revenue for the first time since we started our transition, we continue to be very confident in our forecast that we will see a growth of more than plus 30% organically in the build division in the fourth quarter. The segment's profitability also declined year-on-year to 32.2%. However they again adjusted for the M&A related one off cost as well as the mentioned dilution due to the GoCanvas, the normalized EBITDA profitability margin would have been a margin expansion year-on-year. In the media segment. Our brand Maxon continued to feel the ongoing weaker demand environment, especially in the important US market. Nevertheless, the reported as well as our currency adjusted growth of 7.9% and 8.6%, respectively. Once again were able to outperform the overall market in the first nine months of the year. In addition, the re-acceleration in constant currency growth from 6.1% in Q2 to 8.8% in Q3 indicates that the second quarter likely marked the low point for the year in terms of growth rates. This segment's profitability with 34.3% continue to be above group average also in the first nine months of 2024. Then let's conclude with a smaller segment managed, which accounts for only 5% of our group's revenue. That's an increase of 1.9 in the first nine months of the year. However, this segment's growth was partially negatively impacted by the discontinuation of a low margin advisory service unit earlier in the year as also already mentioned. Despite the continued investments into the segment's product portfolio as well as future growth opportunities, the margin expanded markedly to 7.3% from just 1.2% last year. Let's come to page number 9. As you all know one of our main strategic objectives and always an important discussion point on this call is the topic of recurring revenues and in particular, the development of our subscription and SaaS business. I already mentioned that previously, we are again very pleased with the development of our subscription and SaaS revenues in Q3 as well as during the entire first month of 2024. Let's start on the right side of this slide with one of our most important KPIs annual recurring revenues. ARR clearly grew over proportionally and in line with our goals for the full year with plus 33% on a reported and plus 25.2% on an organic basis to €883 million. And just as a reminder according to our definition here at the Nemetschek group the ARR includes all of our different recurring revenue streams that is subscription and SaaS well as maintenance contracts. That means that if we would exclude the maintenance contract from what I just said the ARR growth of 94% on reported and almost 78% on an organic basis would have been even substantially higher. In line with our strategy, our license revenue continued to decline as expected by 44% in Q3 driven by the ongoing successful transitions of our Bluebeam brand and the design brands FRILO, RISA [ph] and Vectorworks. And this more volatile revenue category accounted for only €25 million at the end of the third quarter. Now coming to the left hand side of the slide that also provides a longer term picture of the development of our recurring revenues. And we started with recurring revenue base of just €265 million in 2020 more than double these more resilient and better plannable revenues within the last four years. In addition, they now account for 86% of our total revenue base. And this is a new record high after the first nine months of the year and well in line with our plans. So looking at the chart, it also again is becoming very, very clear what has been driving this strong increase in recurring revenues. Our systematic and highly successful transition to a subscription and SaaS-centric business model which led to an almost six-fold increase in our subscription and SaaS revenue base from 2020 to 2024. And the corresponding organic subscription and SaaS revenue CAGR reached a remarkable 55%. I believe that the chart impressively shows the substantial progress we have already made here in the recent years and which we are determined to continue going forward. So then to conclude our review of the results for the first nine months of 2024, we provide a more comprehensive overview of our key P&L and cash flow items on page number 10. We have already addressed the reported as well as our organic revenue and EBITDA development in detail. However, going down further in the P&L, you'll see that the impact of our M&A activities is now also reflected in the reported development of our OpEx space and that can be seen clearly on this page. For example, if we take a closer look at the largest component of our overall cost space that is our personnel costs naturally you will see that after the very modest increase of only 3.8% in the first half of the year, the personal expenses now increased only by 17.8% in Q3. However, as one would expect as well the higher growth rate can be fully explained by the around 300 additional GoCanvas employees that joined the Nemetschek group as of July 1. With these additional employees and additional costs linked to that acquisition, the underlying organic growth in personnel costs would be substantially lower. And in line with the previous quarters which underpins our continued focus on the cost base. The earnings per share growth of only 8.5% of the first nine months of the year and the even negative growth of minus 4.8% in the third quarter is solely coming from the impact from GoCanvas. Apart from the already discussed margin dilution due to the currently lower operational profitability of GoCanvas, also additional amortization charges as well as increased expenses played a major role here. For the coming quarters, we expect a run rate of around €5 million per quarter or slightly more than €20 million per year of additional amortization charges in connection with the GoCanvas acquisition. However, please be reminded that the effects of the acquisitions are subject to the fact that the important key figures that I was mentioning here including the calculation of the PPA amortization charges for GoCanvas are still preliminary and will not be finalized until the later the later stage of this year. And that's why it's still assumptions. The same applies to the additional interest expense that we expected as a result of the GoCanvas acquisition. As we have already communicated at just over €600 million we initially financed a large portion of the purchase price with new debt. First we are a revolving credit facility as well as a bridge loan and we are currently in the process of the refinance of the bridge loan with our debut promissory note the German [indiscernible]. And in addition to our continued very strong cash flow generation with a free cash flow before M&A of almost €200 million in the first nine months of 2024 we have already repaid more than €100 million the initial acquisition financing. With incremental interest expense of €7.7 million in the third quarter in connection with GoCanvas is therefore not necessarily a representative run rate going forward. Additional interest costs in 2025 are projected to be in the ballpark of €20 million to €25 million but that is very much depending on how quickly we decide to repay the loan out of the strong cash flow regeneration as well as the final takeout financing conditions. Of course, I think it's really fair to say that we still maintain a very solid balance sheet even after the acquisition of GoCanvas with an equity ratio of 39% and a net debt to EBDA ratio of currently 1.8 times despite the GoCanvas acquisition. In addition and thanks to our aforementioned strong operational performance as well as a very strong cash flow generation capability we will be able to very quickly deliver and recreate a substantial leverage have room for further investments. And with that I'll hand it back to Yves.
Yves Padrines: Thank you very much Louise for this comprehensive overview of our financial results. As we come to the end of our presentation on Page number 12, I would like to turn to our organic guidance as well as our expanded outlook following the acquisition of GoCanvas for the current financial year 2024. On Slide 12, as a result of the multitude of long-term structural growth drivers in our industries such as a low degree of digitalization, regulation, and the pressing need for construction companies to become more efficient and sustainable. Our strong operational growth in the first nine months of the year, our highly resilient and well diversified business model, as well as our successful subscription transition in the Design and especially in the Build segment the brand Bluebeam, we continue to be very confident to achieve our outlook for the current financial year 2024. We therefore fully consider all organic as well as expanded financial targets for the acquisition of GoCanvas for 2024, despite the still challenging market environment and the ongoing transition of our business model to subscription and staff models and its accounting related dampening effects on our revenue and earnings. In particular this means that we will expect an organic revenue growth at constant currencies of 10 to 11%. In addition the organic margin is forecasted to be in the range of 30 to 31%. The ARR growth is expected to be around 25%. As a result, the share of recurring revenue is expected to reach around 85% by year end. Furthermore based on the consolidation of GoCanvas as of July 1st, the Executive Board continues to expect an additional positive effect on the forecasted revenue growth of around 3% points for 2024. EBITDA margin is expected to be diluted by around 100 basis points due to the profitability of GoCanvas is still below the group's average. The ARR growth is forecasted to increase to more than 30% while the share of revenue recurring revenue is expected to continue to increase to around 85%. Please let me highlight here again that these figures do not yet reflect the full potential of the acquisition. Both the revenue as well as the contribution of GoCanvas are reduced by a high single-digit million euro amount in the second half of 2024 due to the IFRS related purchase price allocation. The true potential of GoCanvas and the combination of Bluebeam's office and GoCanvas field worker communities will become even more clearly visible in the coming years. As usual our guidance is based on the assumption that there are no material changes in the global macroeconomic and or industry specific conditions. And that both key figures including the calculation of the PPA charges for GoCanvas will not be finalized until later in the year. To conclude and summarize our performance in the first nine months of 2024. Nemetschek has once again proven its exceptional position in the market. We achieved impressive top line growth and a high profitability in a challenging environment, while successfully transitioning to a subscription and SaaS business model. And with that said, I would like to thank you for your attention and we are now happy to take your questions. So, operator, please back to you.
Operator: Yes, thank you. [Operator Instructions] Alice Jennings Barclays. Please go ahead.
Alice Jennings: Hi good morning -- afternoon, sorry. Thank you for taking my question. My first question is just on the Build segment. So it's expected to accelerate to more than 30% in the fourth quarter. But I was just wondering how do you expect this to continue going into 2025? And then my second question is in the Design segment. So, I believe the Graphisoft is going to stop selling licenses for new customers from the start of -- for existing customers from the start of next year. So, I was just wondering have you seen any impact so far from people increasing their demand wishing to take the final opportunity to purchase a license in the fourth quarter so far? Thanks.
Yves Padrines: Thank you, Alice. So first of all, on your bill question. Yes, correct. We are planning to have a revenue growth of around 33% plus in Q4. This is again, mainly an accounting effect especially also on the fact that we have very low comparable in Q4 2023. Remember, that was the first quarter where we didn't have any longer perpetual license. So we have a very low comparable and therefore in 2025, will more come in normalize where we believe the build segment will be more around 20% revenue growth, as we already indicated in the past. Clearly, it is going to be an exceptional quarter for build and then we will come back in an organic way to be around 20%. Regarding your question on design, here Graphisoft. Yes. As you know, we already announced many months ago that Graphisoft will stop selling perpetual licenses to new customers, beginning of 2025 and that existing customers will still have the ability to buy perpetual license until January 1, 2026. So therefore, there has been already an ongoing you know, demand of a perpetual license for Graphisoft over the last few months, because it's already known in the market also with our channel partner and reseller network. Nevertheless, so you never know, that perpetual license could be up or down for Q4. For the moment, we have not seen a huge increase on perpetual license in Q3. Of course, there's still a demand a good demand but not like an exceptional strong demand. It may potentially change in Q4. But we have to be very careful, because again, if you look at new customers most of the time they are buying mainly subscription, because as you know, a lot of our business is here in Europe and the European design market is still challenging especially in the residential construction, overall market segments. Therefore, yes, there might be a surprise, but also not necessary. So we have to be very cautious for Q4 in design but you told Graphisoft. Yes there is still a good demand, but not exceptional demand on perpetual license yet. I hope, I answer both your questions, Alice.
Alice Jennings: No that's very helpful. Thank you very much. Thanks.
Operator: The next question comes from Knut Woller, Baader Bank. Please go ahead.
Q – Knut Woller: Yes. Hi. And thanks for taking my questions. First, on the new release of Allplan 2025 2028 and 2025. Can you give us some ideas here how you impact these new releases to shape growth in the coming quarters? Then secondly, Louise, if I understood you correctly it was it was about a priority for you to pay down debt quickly and to deleverage to have room for further M&A, can you just give us some help in understanding in absolute terms what that means per year? Would that be something of pay down of debt by around about €100 million a year? Is that a realistic assumption? And then just quickly on the short term deferred revenue momentum, could you help me understand what the organic growth was as you did for ARR? Thank you very much.
A – Yves Padrines: Thanks, Knut. So, first of all regarding the new releases in our ordering tool brands, so if you look at Graphisoft, Vectorworks and Allplan 2025 for example, this is as you know, every year in this period, we are launching new releases for these three large design brands. It is essential that we do that especially, for recurring business and to make sure that our customers are continuing to subscribe. So churn avoidance and churn in terms of maintenance, because you know some of these features are available, with some upgrades on the maintenance side, but also on the subscription side, it is key to provide such key new features. So its part of our plan our plan to reach our target. So it is already built in our forecast for Q4, but also for 2025. So it is business as usual if you want and something that we do on a yearly basis. And for the other question, I will let Louise answer.
Louise Öfverström: Yes. Yes. Yes. I think of course, it's a priority to pay down the debt in order to recreate that headroom, right. I think that's always a cautious thing to do. And then, I mean given our unchanged very strong cash flow generating capability, we definitely do not see that will change in any time in the future. We will of course use that as we have already done now, as well as in the last couple of weeks. So it's really depending on how much other M&A investment opportunities we have, since been paid down the debt, et cetera. So if we were not to do any M&A as I say, we will use the cash to repay the debt and I will not put a number on it, but let's put it to I mean the €100 million per year that you mentioned, is not fully unrealistic, but it's very much depending on we will continue our growth story is to grow and we have enough opportunities out there. So we will use the cash for the best use, otherwise yes, there could be something like that. And the third question, I didn't really get. Could you please reiterate that question?
Q – Knut Woller: Yes. Of course. And it's about default revenue momentum. Can you share with us what kind of growth it was organically in the short-term deferred revenue momentum?
Louise Öfverström : The deferred revenue momentum. I mean that is what has impacted -- this impacted strongly and that's alluded to a little bit to the build segment. You know how it is in the beginning when you start with the subscription transition you are building up your pool on deferred revenue. We have almost everything on yearly contracts, right? So you take approximately a year until you have built that up and then you use your deferred revenues and then you have the growth coming up to that. And the reason now for Q4 being so strong in build as well is of course also that we now have a higher portion this year that we can recognize in revenue now out of the deferred portion than we had last year as well. So you have that kind of accounting boom or boost if you may right? So that's something that of course impacting short-term at the beginning of a transition that levels out over time of course. So that's one of the impacts we had. And of course we added GoCanvas acquisition now that is purely a SaaS-based model that of course a full recurring revenue model. And then of course the design that is now moving. So I mean in general at the end of Q3, our deferred revenue increased by some 36% year-on-year, and there was approximately €30 million that we acquired to GoCanvas if that's helpful.
Q – Knut Woller: Thanks very much, Yves and Louise.
Louise Öfverström : Thank you.
Operator: Our next question comes from Nicolas David, ODDO BHF.
Nicolas David : Yes. Hi, good afternoon, Yves and Louise. Thank you for taking my question. The first question I have is regarding the high growth you posted on the Build segment organically in Q3. Could you share some colors about this -the drivers of this exploration? Is it linked to some exceptional items notably NEVARIS level or is it really a nicer than expected performance from the subscription of Bluebeam? That would be my first question. And my second question is regarding GoCanvas that in Q3 the revenue contribution was a bit higher than the initial expected. And could you also give us some details about why were you overly cautious regarding the review ECU linked to IFRS or is it just GoCanvas performing better than expected? Thank you.
Yves Padrines : Thank you, Nicolas. So regarding the Build segment. So clearly it is not only due to Bluebeam accounting effect and all of that and of course still strong demand. So but also you're right. Thanks to NEVARIS and NEVARIS had not a great H1, I would say, I mean as you know NEVARIS is really focusing it's mainly a construction ERP for construction company mainly in Germany and also with some other construction software. So it's really, really dedicated to the German market and they had a nice Q3 some couple of very good deals. So it really helped also a bump on the growth for Q3. So the Build segment growth is due to the accounting effect and the fact that Bluebeam is still highly successful. But the plus, let's say, that you have in what could have been probably a lower effect is thanks to the NEVARIS on the Build segment. And if you look at Q3 GoCanvas well this is really according to plan in terms of -- it's in line with what we say. So it's a high single-digit amount for the second half haircut. And so we do not have any expression or performance on GoCanvas. It's really as we planned.
Louise Öfverström : But it's well in line with the plan, but it is not deviated from that. And also the haircut that we assume that it is the same, because it's still an assumption. So we still don't have the financial figures that can of course change a little bit towards the year end. We have the final figure. It's still the same assumption. So it is completely in line with what we had expected both parameters.
Nicolas David : All right. Thank you for the creative comment. Regarding the Build growth organically, could you share some color about quantitatively the impact of NEVARIS? Was it really meaningfully accretive to the growth or it's not so material for the 15% growth that you shouldn't do?
Yves Padrines : I mean for Q3 it was good. I mean it was not super high, but it was a good contribution.
Nicolas David : All right. Thank you very much and congrats for the performance..
Operator: Okay. So the next question comes from Naing Nay Soe from Berenberg. Excuse me, I mispronounced.
Naing Nay Soe : Hi. Thank you for giving me questions. I've got two if I may. The first one is on the macro and the second one on the contributions from the subscription transition plans. With regards to the macro question, one consistent feedback we've had from the underlying industry throughout the year is because of political uncertainties, some of the customers have delayed their decisions to be in new projects, now that we've had election results over in the US. But then unfortunately with some recent developments, in your home country, I was wondering how we should think about the macro environment heading into 2025. Should we expect some of the delayed project decisions to come back in 2025 or the certainties would continue to exist especially in Germany?
Yves Padrines: On the macro side, clearly, there's no change. I mean the situation is similar. Yes, we may all think that well, because interest rates went a little bit down and planning to still go down that the situation in the construction market especially in the residential market is going strongly better also for construction software business? No, we are not expecting big changes. So we're not expecting the situation to be better, but also not worse within the coming months and quarters or guidance for 2025 is based on the assumption that there will be no underlying market changes. And that's the case. And you know it's the same when I talk to peers, peers in terms of ACO software vendors. I mean some of them have the same. I mean, the feedback, I mean really depending on which market they are. I mean, some markets are probably more affected than others of changes. But even when you talk to you know people who are more selling hardware and materials in the construction industry, they do not see fundamental changes next year and also in Q4 in the overall demand in the construction market, so for change.
Nicole Winkler: Got it. Understood. And then my second question growth -- called the subsequent transition plans you know of the 20 -- around 20% growth that you're guiding and build for 2025. How much of that will come from the tailwinds that that we'll continue to see from the subsequent transition plan. And then, over in the design segment, what level of growth headwinds should we expect from this graphic of transition please?
Yves Padrines: Well, if you look at 2025, so clearly on the build segment side, I mean the growth is coming from mainly user growth. That's where the growth is coming from. There is still a strong demand especially in the US. As you know we are taking strong investment, but also strong focus on internationalization for Bluebeam especially since Usman Shuja the new CEO of Bluebeam and the new Chief Division Officer of BD who joined us last year in September that was a strong focus. And in Europe, we are really targeting key markets such as France and Germany and UK we are already doing okay we see strong growth potential which probably will have more material effect after 2025, but still a strong nice growth opportunities also in Asia and in the Middle East. Clearly, the main growth is coming to be strong at the beginning in fiscal 2025 and then it will be a little bit more moderate. So for the full year, it is 20% as said before with higher growth, I mean, due to the of course accounting effects, especially in Q1, but then coming to a more modern moderate growth and be blended around 20% for the full year. Design the graphite of transition will give us some headwind, but other brands like Vectorworks will come out of the transition. So as you know beginning of 2024, all markets excluding Japan, the only opportunity you have to buy Vectorworks is a subscription. Then if you look at our plan, I mean, around 75% to 80% of the new seeds that we are selling with our plan since the beginning of 30th year are subscription already. So the overall migration to subscription design as already stated it is going to be much, much smoother compared to build. And we do not up from zero in terms of migration also there. So we are already if you look at subscription revenue in design we are already in the mid-to-high-20% share of the total revenue, of the design revenue.
Nicole Winkler: Got it, understood. Thank you very much.
Operator: The next question comes from Florian Treisch, Kepler Cheuvreux. Please go ahead.
Florian Treisch: Yes hi, everybody. Thanks for taking my question. Well. I have two. So you said you're very confident on reaching your guidance. Some might argue that you can be even more confident and let's say slightly lifting it. Is there a particular reason that you're holding back and lifting the guidance today? The second part is, you partly answered already with your statement on the design, subset, but my impression at least is that the transition overall is running more smoothly than we probably have anticipated. Are there any specific reason you slightly touched on new businesses really sub-based? Now is it really that clients are now lets say, also more proactively willing to go to subs kind of to use of prices well. Thank you.
Yves Padrines: Well, thanks Florian. And so you're right, clearly, to start with your second point, there is there is clearly an effect that for the last couple of years, especially in Europe, I mean customers are willing to even demanding without us pushing a couple of years ago more to go with subscription. I mean it's for economical reason because you know, it's less expensive for them, especially small size customers they have smaller upfront payment. And economically, it's also the fact that we increased over the last couple of years a little bit also our perpetual license price and therefore, it's – therefore also more attractive economically to go with subscription. But then even more importantly, you have a lot of features, which are not available any longer if you go on perpetual license versus especially the cloud based features. So that's why. Yes, you're right. This is also one of the impact that it is much smoother for us on the way to subscription. I think the brand, which is our largest brand in design Graphisoft, they still have some good business on perpetual license. So clearly this is where in 2025, especially in Q1, where we had a very strong Q1 in 2024 of perpetual license. Remember with Graphisoft because we had all this price increase on April 1, 2024. I mean we will have a high comparable in Q1 in design and therefore, it will have an impact. But overall, if you look at how what we are currently planning you know for 2025 yes, one will be probably lower. But overall for the full year, design will be still in the range of what we have this year or even slightly higher in the high single-digit type of revenue growth for 2025. Coming back to your question number one. Yes we are accelerating strongly in Q4, Q4 with the build segment 30% plus and design growth is planning to re accelerate but slightly, a slight acceleration. I mean there's still some risk. There is still uncertainty in regards to the current economic and political environment of course. However, we continue to be very confident to reach all our targets for the financial year 2024. Now saying that we are going to be in the upper hand of that is probably way too early to say.
Florian Treisch: Great. Thank you very much. Bye-bye.
Operator: The next question comes from Michael Briest, UBS.
Michael Briest: Thank you. Good afternoon. Apologies if I missed this but I was wondering have you repeated the ambition to grow organically in the mid-teens in 2025. And then given Graphisoft or sorry – the Build segment's going to be doing 20%. It feels like everything else has to be around double-digit at least in order to achieve that. And then I've got a follow-up.
Yves Padrines: Yes we are not changing our 2025 guidance. It's still at least in the mid-teens, no change on an organic basis. And of course, then you add also the impact, the positive impact of GoCanvas acquisition, no change there. And yes, Build would be around 20% plus then we will have high single-digit close to probably double-digit for design and probably similar to some other brands between the high single-digits and low double-digit growth overall for the other segments.
Michael Briest: And can you talk about the Manage business? And I guess the German operations were flat this quarter. Your comments about macro suggest you're not expecting a pickup but presumably Germany will get better than that for 2025 and Manage will obviously have to re accelerate. What will drive that?
Yves Padrines: Definitely, Manage will re accelerate. I mean I mean we do not see I remember there are still no figures on Manage. Yes you're right in Germany. But in 2024 the impact on the Manage and operate the fact also that we stopped the advisory business and therefore, you know we will have a better comparable also for next year, et cetera. So we should be a much, much better growth for Operate and Manage in 2025 versus 2024.
Michael Briest: And I mean Germany was flat, despite Nevaris having a good quarter. So what's going on there and what will drive a pick up.
Yves Padrines: Again Operate and Manage. It's not only Germany and Nevaris is more in the build segment. So I'm not sure I understand your question. Sorry Nevaris field not Manage and Operate.
Michael Briest: No but I mean Germany in aggregate was flat for the quarter. So if Nevaris was strong, what were the weaker parts and what will drive their acceleration?
Yves Padrines: Well, I mean of course a big part of the business in Germany is designed and here with the move to subscription, of course, this had an impact on a pure accounting also impact on the revenue piece. But in terms of sales, design was good in Germany.
Louise Oefverstroem: The subscription transition effects more I would say and we have a big chunk of our of our design business especially in Germany. So that's the reason.
Michael Briest: Okay. So Germany is growing better than that on a sort of adjusted basis.
Louise Oefverstroem: So I mean the German -- the German construction market and design markets as such as you know from the industrial perspective, they were weak right? We still have to say a strong momentum on the software side. It is more challenging than in other regions et cetera. But I think also the reason why we should just say in Germany for the Nemetschek Group was a little bit lower compared to what we have been which is much higher than say the industrial market growth is of course to the subscription transition. And that's more the same due to accounting burdens that come that come through that. But I mean Germany is not a strong market right now I think.
Yves Padrines: That it is not a strong market. And that's why our focus is really around internationalization, the US market. And that's why you know the acquisition of GoCanvas was very key and strategic for us also to grow even further or present in North America. And as you know, we also are going after more aggressively in other continents such as Asia, with India, et cetera, et cetera. So internationalization is really the key growth driver of our overall strategy as a Nemetschek Group.
Michael Briest: Thank you.
Operator: The next question comes from Martin Jungfleisch BNP Paribas. Your line is open.
Martin Jungfleisch: Yes, hi, good afternoon. I've also two questions please. First of all a bit on AI, I mean you've recently launched a number of AI functionalities in your brand and I think you're also adding an AI layer your solutions of next year. Can you just discuss a bit how these AI functionalities are being taken up by your customers? And how do you think you can monetize these investments? So are customers actually willing to pay up for these functions? And then the second question is on GoCanvas again could you disclose what the growth rate year on year was excluding this revenue haircut it is still above the 20% growth rate. Thank you.
Yves Padrines: Thanks, Martin. So first of all on AI, yes, you're right. So as you know, we launched this AI visualizer now deployed with all free to brands such as graphics soft with ArchiCAD and Vectorworks and our plan. We have also AI functionality of course as well especially in energy management which is mainly an AI led software solution. We have also AI at Bluebeam et cetera. No we did case by case. If you look at the AI visualizer, it's used actively. Now we have very good usage of our AI visualizer especially with brands that like ArchiCAD and Vectorworks. Now how we are monetizing it? Yes, I mean first we want to see really the feedback from the market, making sure that you know, it is helping them to be more efficient and more productive. It seems to be the case in some parts. And then our idea moving forward with AI, how we are planning to monetize AI. So either it is part of a premium package so we need to push subscribers to move to and therefore increase our average revenue per user by doing that. It is also a way of course to reduce churn by having opportunity. But some specific AI features, we are also planning to sell them standalone and to monetize them stand alone in the future. So, it's really depending what it is for which brand and for what et cetera. And AI layer that we just announced at the group level a few weeks ago, we are planning to launch it sometime in 2025 and that will be going to be the foundation of all our brand overall strategic Technology Foundation around AI for the future. Then, regarding GoCanvas. Well, yes, GoCanvas continued to be a 20% revenue growth company and around 20% gross margin. I mean EBITDA margin business excluding the haircut as we expected. So it is a rule of 40 company exactly excluding the haircut.
Martin Jungfleisch: Perfect. Thanks a lot.
Operator: The next question comes from Victor Cheng, Bank of America. Please go ahead.
Victor Cheng: Hi. Thanks for taking my questions, two, if I may. I think you earlier talked about Bluebeam Internationalization. That obviously has been the ongoing kind of thesis. I know Bluebeam obviously is very strong and gold standard in US. But is there any reason in other markets that people actually is not using Bluebeam as much as they should have? Is it more kind of the ecosystem or environment isn't there? Or is there a different kind of competition in other regions? And then secondly, on media, media growth has been a bit slower than historical for a few quarters now. Obviously, you're talking about the 25 you expect a reacceleration. You also talk about outperformance versus the underlying market and media. Can you give us some color on kind of what gives you the confidence, what underlying market growth you're seeing?
Yves Padrines: First of all, regarding Bluebeam, you're right. We continue to be very, very strong in North America, but also we are growing significantly internationally. And why we are growing internationally? So first of all, it was easier to grow internationally in English speaking markets. That's why Bluebeam is strong in UK, is strong in Australia and New Zealand. Bluebeam is also very strong in Scandinavia, especially in Sweden. If you look at Sweden, I mean, very, very strong market share. But then there are some other markets, especially France and Germany, where frankly we probably didn't do the right job of local go to market, let's say, localization of Bluebeam. And this has clearly changed the last few months. We worked on proper marketing, education on what are the value proposition of Bluebeam and not going with Bluebeam and saying, oh, these are the nice technical features of Bluebeam. It can do X, Y and Z. Well, we need to go through the value proposition of Bluebeam and we see that works. And by the way, we signed some very, very important big deals of Bluebeam, very large customer in Germany in Q3 in September, very big one. But it is working and we are very, very pleased to see that. This is really giving us high confidence that we can see that Bluebeam can be very strong in Continental Europe. Now, rest of the world, Asia, Middle East, too early to say. We are pushing it. But we do not see why, especially in India or in the Middle East, there should be any difference, especially that there is no real strong competition in these markets for Bluebeam. Regarding media, yes, media, the market growth is not fantastic for the last couple of years. As you know, we had this Hollywood strike last year, which still impacted the media growth even still this year. They are suffering, streaming, players are not necessarily in a good shape. You have less content produced. And we see that our main slow, as I said before, the presentation is coming from the US market. I mean, as the rest of the world is doing okay. We even have double digit growth or strong double digit growth if you look at Asia Pacific. But as half of the business of Maxon is in North America, well, not only it is really impacting and we have only this high single percentage growth on the revenue side for Maxon. The good thing and you can compare it, for example, with our main competitor on the media side, we are clearly outperforming the growth of the competition. But clearly, we see better performance in Q3 than in Q2. We foresee again when we look at October that the trend is the same as in Q3. So we are expecting Q4 to be in the similar type of growth more or less in Q3 and probably slightly better than even in 2025 because of course as it is a pure subscription business all the sales that we are doing now in the second half of 2024 will have a positive impact on the revenue side for 2025. So we are confident on the Maxon side to really be again in to come back to the probably even double-digit growth mid term, low double-digit growth mid term for business.
Victor Cheng: Very good color. Thank you.
Operator: The next question comes from Chandra Sriraman, Stifel. Please go ahead.
Chandra Sriraman: Yes hi. Thanks for taking my question. Congrats from my side as well. Just a couple of questions and a clarification. I was just wondering in terms of price increases, you did quite a wide range of price increases last year in design. Build has been without price increases for a couple of years. How are you seeing this for Bluebeam particularly? And also on a related note, you had the first set of renewals as well in terms of your subscriptions. So I was just wondering have you noticed any change in terms of attrition here. Is that lowering to give you a more steady visibility on overall revenues? Thanks.
Yves Padrines: Yes. So first of all, on price increase, yes, we've done price increases, mainly on perpetual license business in design, which is helping us in the conversion and the transition to subscription and business models. On the Bluebeam side, I mean there have been some price adjustments, and as you know when we moved to subscription with Bluebeam, there's been new repackaging, etcetera. And that's why you know as we discussed. Bluebeam average yearly subscription fee represents 50 -- around 50% plus of the perpetual license. And this is really thanks to, we can call it. price increase or price adjustment, but it really is repackaging that we have done with Bluebeam. There's been some slight also price increase with Bluebeam done. But clearly the growth of Bluebeam is mainly, I mean it is still coming from the net user growth. On the renewal side for the moment, I mean positive. I mean we are in a churn rate, which we were planning to have. Of course, when you start with some piece on the churn, they are higher than as I say, maintenance but that's normal. But overall, there is no big change in the churn rate in our renewal in subscription that we have seen so far. So, quite positive.
Chandra Sriraman: Perfect. And maybe one clarification. Historically, the BAU conference in the New Year has an impact on Q4 design performance. I'm just wondering, is that you are behind us given that you're pushing towards subscriptions?
Yves Padrines: BAU is, of course, a very important conference for us here in Munich. I'm not sure your question is related to, if we are going to make specific announcements there or?
Chandra Sriraman: No. No. Historically, we have seen sometimes clients wait for the bar conference and then make the purchases instead of buying in Q4. So I'm just wondering if that's something.
Yves Padrines: Not really. Not really, I mean not really. At least we will not have -- I mean it is more for lead generation. It is events market presence, it's more marketing tool. It's not like in the case of pure construction equipment where we are feeding orders in the trade show. That's not really the case. I mean a little bit, of course, there are some cases that it was more in the past. No, it's really more e-generation marketing tool for, yes, for growth but it will not have an impact on revenue. No.
Chandra Sriraman: Perfect. Thank you very much.
Yves Padrines: It will have an impact on cost, because it's an expensive event.
Louise Öfverström: But we also have return out of that.
Yves Padrines: That will have. You’re right.
Louise Öfverström: Thanks Chandra.
Operator: Okay. So at this point, there seem to be no further questions. That means I'd like to wrap-up the Q&A session, and hand it back to the speakers for some closing remarks.
Stefanie Zimmermann: Perfect. Thanks everyone for attending. So let's -- I'm looking forward to catching up with you soon. If you have any follow-up questions, so please do not hesitate to contact us. Let's conclude our call for today. Thanks again for attending. Hope to speak to you soon.
Yves Padrines: Thank you very much, everyone.
Louise Öfverström: Thank you.